Operator: Good morning, ladies and gentlemen and welcome to the Cross Country Healthcare Conference Call for the Fourth Quarter and Full Year of 2014. This call is being simultaneously webcast live. A replay of this call will also be available until March 19, 2015 and can be accessed either on the company’s website or by dialing 800-395-7443 for domestic calls and 203-369-3271 for international calls, and please enter the passcode of 2015. I will now turn the call over to Bill Burns, Cross Country Healthcare’s Chief Financial Officer. Please go ahead, sir.
Bill Burns: Thank you and good morning everyone. With me today is our Chief Executive Officer, Bill Grubbs. This call will include a discussion of fourth quarter and full year results for 2014 as disclosed in our press release and will also include a discussion of our financial outlook for the first quarter of 2015. After our prepared remarks, you will have an opportunity to ask questions. I’d like to remind everyone that the press release is also available on our website at www.crosscountryhealthcare.com. Before we begin, we need to remind you that certain statements made on this call may constitute forward-looking statements. As noted in our press release, forward-looking statements can vary materially from actual results and are subject to known and unknown risks, uncertainties and other factors, including those contained in the company’s 2013 Annual Report on Form 10-K and quarterly reports on Form 10-Q, as well as in other filings with the SEC. I would encourage all of you to review the risk factors listed in these documents. The company undertakes no obligation to update any of its forward-looking statements. Also, comments during this teleconference reference non-GAAP financial measures such as adjusted EBITDA or adjusted earnings per share. Such non-GAAP financial measures are provided as additional information and should not be considered substitutes for or superior to financial measures calculated in accordance with U.S. GAAP. More information related to these non-GAAP financial measures is contained in our press release. In order to facilitate a better understanding of underlying trends, we may refer to pro forma information on this call, giving effect to acquisitions as though they were included in the prior period results. And lastly, results below adjusted EBITDA continue to include unusual or non-recurring items that impact our pre-tax and net income from continuing operations, which I will touch on later in the call. With that, I will now turn the call over to our CEO, Bill.
Bill Grubbs: Thank you, Bill. Thank you, everyone for joining us this morning. I am pleased to report a strong fourth quarter. Overall, we had pro forma year-over-year revenue growth at 8.4%, increasing from 6.8% in the third quarter. Our management team and all of our staff have done a good job staying focused on delivering our services during our integration. Our adjusted EBITDA was $6.2 million or 3.3% of revenue, which includes the impact of a non-cash adjustment for unamortized insurance premiums. Excluding the impact of this item, adjusted EBITDA would have been 3.8% of revenue at the higher end of our guidance and up from 3.5% in the third quarter. I believe this underlying adjusted EBITDA is more indicative of what our future performance is likely to be. So, let me just clarify that a little bit. There was a little over $1 million of additional costs in the quarter that really had nothing to do with Q4. So, for me, I need to worry about what we have really done from an operational standpoint and then what we look like going forward. So, to me that had nothing to do with Q4. We did 8.4% revenue growth and a 3.8% adjusted EBITDA, which was right in line with our expectations. Bill Burns will talk a little bit more about that $1 million charge when he talks about the numbers in more detail. This strong performance was predominantly due to strong results from our nurse and allied segment, which had pro forma year-over-year revenue growth in the quarter of 11.4%. Our other human capital segment also contributed to this growth with 14.5% year-over-year revenue growth significantly up from the third quarter. However, this growth was partly offset by continued weak performance in our physician staffing segment. For the fourth quarter, in our nurse and allied staffing segment, which represented 78% of our total revenue, we saw strong demand for our services as well as growth in the number of healthcare professionals on assignment. Throughout the quarter and now at the end of February, our nurse and allied orders remained near historic highs. In order to respond to this demand, we have continued to hire additional recruiters and make incremental investments in candidate attraction. In addition, our larger national footprint of branch offices is giving us access to additional healthcare professionals. Based on these demand trends, we expect to see continued pro forma year-over-year growth in the first quarter. Demand has remained strong now for more than 6 months. And as expected we are starting to see an increase in pricing. Year-over-year our nurse and allied bill rates increased 3.8% on a pro forma basis, up from 3% in the third quarter. Excluding the impact of the MSN acquisition, revenue in our physician business was down 4% year-over-year. I am pleased with the changes we made and we are seeing an increase in pricing, new providers and submittals but they have not yet translated to revenue growth. I do not expect this business to start turning around until the second half of 2015. In our other human capital segment revenue was up 14.5% year-over-year. The education business was more stable with 3.2% year-over-year growth and we had a significant improvement in performance from our search business which had a 38.2% year-over-year revenue growth. The changes we made to our search business last year are now making a difference and we expect that to continue in 2015. Let me move to the full year before turning it over to Bill Burns. 2014 was a year of transformation for Cross Country Healthcare. After implementing significant changes in 2013, completing the Allied acquisition late in 2013 and the MSN acquisition mid-year 2014, we are a much improved company. And I believe we are well-positioned to take advantage of strong market conditions. We have increased our market share in travel nursing per diem and allied, all in line with our stated strategy. We now have more than 70 branch office locations throughout the country that allow us to target more profitable local business, address the shift from acute care hospitals to ambulatory care facilities, fill more of allied and per diem MSP positions and have access to a larger pool of healthcare professionals. We have also expanded our workforce solutions which have more than 50 MSP programs servicing more than 1,000 healthcare facilities as well as additional service offerings including optimal workforce solutions and predictive modeling scheduling services. We have a stronger management team with a focus on sales, account management, service delivery and candidate attraction. And there is renewed energy and excitement in the company as well as pride that we are growing our market share. We are a much improved organization with dedicated experienced staff that is reflected in our improved operating results. During 2014, we generated $618 million in revenue, up 41% from $438 million in 2013 or 5% on a pro forma basis. Growth was driven predominantly from our nurse and allied segment up to 68%, mostly due to our two acquisitions, but up 9% on a pro forma basis. This growth was offset by declines of 8% in our physician staffing segment and 1% in our other human capital segment. Full year adjusted EBITDA was $17.2 million or 2.8% of revenue, up from $8.4 million or 1.9% of revenue in 2013. Overall in 2014 adjusted EBITDA was up 105% on a reported basis, was 69% on a pro forma basis. So to summarize I am pleased with our continued progress, our fourth quarter pro forma year-over-year growth and our underlying adjusted EBITDA both improved from the third quarter and we are going into 2015 with positive momentum. The economy appears stable and the market conditions for healthcare staffing remain robust. With the MSN integration settling down, we are well-positioned to continue growing our market share, increasing our profitability and improving shareholder value. We believe we are on track to hit our targeted adjusted EBITDA margin of at least 5% by the fourth quarter of 2015 and 8% on a run rate basis during 2017. Now let me turn it over to Bill Burns to go into the numbers in more detail.
Bill Burns: Thanks Bill. Let me first review the consolidated results for the quarter. Turning first to revenue, total revenue for the quarter was $188.1 million, up 72% from the prior year and flat sequentially. On a pro forma basis, revenue for the quarter was up 8% from the prior year. The year-over-year increase in revenue was driven by robust demand in our largest segment nurse and allied staffing as well as stronger quarterly results in our other human capital management services segment. Growth – gross profit margin for the quarter was 25.3%, down 90 basis points from the prior year and up 30 basis points sequentially. Gross profit margin was negatively impacted by an adjustment for unamortized insurance premiums that related to prior policy periods. Excluding the impact of that adjustment gross profit margin would have been approximately 50 basis points higher for the quarter and in line with our expectations. It is important to note that this prior period adjustment was not deemed material and will not have an impact on future results. Moving down to the income statement SG&A for the quarter was $41.5 million, up 54% on a year-over-year basis and 2% sequentially. The year-over-year increase was primarily due to the impact of the MSN acquisition and to a lesser extent the Allied Healthcare acquisition in late 2013. The sequential increase was primarily attributable to higher recruiting cost as we continue to make investments in the business to meet the high demand for our services. As a percent of revenue, SG&A was 22.1%, down nearly 260 basis points year-over-year and up 50 basis points sequentially. During the fourth quarter, we continue to carefully manage our cost to continue improving the operating leverage in our business. Adjusted EBITDA was $6.2 million representing a 3.3% margin, which was below our expected range of 3.5% to 4%. The primary driver again was the impact of the adjustment for unamortized insurance premiums I mentioned earlier. Below adjusted EBITDA, we reported acquisition and integration related charges of $2.5 million for the quarter primarily related to severance and the consolidation of facilities from the MSN acquisition. The majority of the related actions occurred late in the fourth quarter or are planned for early 2015. As these actions are nearly complete, we expect these costs to taper off significantly in the first quarter of 2015. Interest expense was $1.8 million, up over the prior year and flat sequentially, reflecting the additional interest associated with our subordinated debt used to fund the MSN acquisition. There are two other items, which impacted pre-tax earnings I would like to mention. First was a non-cash charge of $9.4 million related to the change in the fair value of the embedded derivative from the convertible notes issued in connection with the MSN acquisition. The primary driver for the increase in the derivative valuation was the increase in our share price over the quarter. Each dollar of movement in our share price is expected to result in approximately a $3.1 million change in the valuation. The second item is an impairment charge of $10 million recorded during the quarter. In conducting our annual impairment testing for goodwill and other indefinite-lived intangibles, we concluded that the trade name used in our physician staffing business was impaired and should be adjusted. The primary driver for the charge was lower revenue, which fell short of expectations and declined nearly 4% year-over-year excluding the impact from acquisitions. Income tax expense for the quarter was approximately $100,000, reflecting the impact from continued amortization of indefinite-lived intangible assets for tax purposes. And this expense was partly offset by a tax benefit associated with recording the impairment charge. Net loss attributable to the company was $20.2 million or $0.65 per share as compared to a net loss in the prior year period of $52.6 million or $1.69 per share. As a consequence of the non-recurring, non-cash adjustments and the continuing impact from changes in the fair value of the derivative, we included a calculation of adjusted earnings per share in the table to our press release in order to facilitate a better understanding of the underlying performance of the business, excluding the impact of those adjustments. As highlighted in our press release, adjusted earnings per share for the quarter was $0.03 per diluted share as compared to zero cents per diluted share in the prior year. Let me next review the results for our three business segments. Revenue for our nurse and allied segment was $146.7 million for the fourth quarter, up 112% year-over-year and up 11% on a pro forma basis. On a sequential basis, revenue was down less than 1%, as the fourth quarter was typically impacted by additional holidays. We averaged 6,325 field FTEs for the quarter, up 154% from the prior year and down just about 1% sequentially. Revenue per FTE per day was $252, up 6% year-over-year on a pro forma basis and up slightly sequentially. The segment contribution income for the quarter was $11.1 million, representing a 7.6% contribution margin, which was up 70 basis points from the prior year and down 90 basis points sequentially. The sequential decline was entirely due to the adjustment for unamortized insurance premiums I mentioned earlier. Turning next to our physician staffing segment, revenue was $31 million in the fourth quarter, up 1% from the prior year and down 4% sequentially. Excluding the impact from the MSN acquisition, physician staffing would have been down approximately 4% on a year-over-year basis. The year-over-year and sequential declines were primarily due to lower volume of days filled. Segment contribution income for the fourth quarter was $2.6 million, representing an 8.4% contribution margin, up 220 basis points from the prior year and 380 basis points sequentially. The year-over-year and sequential margin improvement was primarily attributable to improved pricing and lower costs associated with professional liability in the quarter. Finally, revenue for the other human capital management services segment was $10.4 million, representing a 14% increase over both the prior year and sequentially. The significant increase was largely driven by growth in our search business and to a lesser extent in our education business. Contribution income for the segment was approximately $600,000 or 6.1% as compared to a small contribution loss in the prior year and prior quarter. Turning to cash, we ended the quarter with $5 million of cash and cash equivalents, $57.4 million of debt excluding the impact of the fair value changes in the derivative liability. Days sales outstanding were 55 days, which was 4 days higher than the prior year and 3 days higher than the prior quarter, primarily due to the timing of collections. Net cash used in operations was $1 million representing both the increase in DSO as well as the payment of several professional liability claims and a class-action lawsuit. Capital expenditures totaled approximately $800,000. For the full year of 2014, we used $4.1 million of cash from operating activities, which included $6.1 million of acquisition and integration costs and $2.5 million to fund the working capital of our allied healthcare acquisition. This brings me to our guidance. For the first quarter of 2015, we expect consolidated revenue to be in the $185 million to $190 million range. On a pro forma basis, this range assumes a year-over-year growth rate of 4% to 7% and a sequential growth rate of minus 2% to plus 1%. While we don’t provide specific guidance for segments, we expect that the year-over-year growth will come primarily from our nurse and allied segment, which is expected to grow in the high single-digit range. Consolidated gross profit margin is expected to be between 25% and 25.5% and adjusted EBITDA margin is expected to be between 3.2% and 3.7%. These margins reflect seasonally higher costs such as payroll taxes as well as continued investments to support our growth initiatives. We expect the payroll tax reset will be approximately $1.5 million for the quarter. While we don’t yet provide full year guidance, we do expect to exit 2015 at a run-rate for our adjusted EBITDA margin of 5%. This concludes our prepared remarks. And at this point, I’d like to open up the lines for questions. Operator?
Operator: Thank you, sir. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Mr. AJ Rice of UBS. Your line is now open.
Brandon Fazio: Hi, this is Brandon Fazio for AJ. Couple of questions. One, some of the cost initiatives and you guys have given a bucket list of margin sort of savings or margin enhancements and sort of key cost initiatives that you are working on. What are those this year that will get you to that 5% number? And then also is there any weather impact that you guys are seeing or assuming in your first quarter guidance as well? Thank you.
Bill Grubbs: Yes, I will talk about the weather and then Bill can maybe touch on some of the things we are doing from a cost perspective. Weather is certainly going to be a factor. And I think its part of the reason why we are trending to a slightly lower year-over-year revenue growth number in the first quarter. It’s – I don’t have any analysis yet that tells me that it’s worse than it was last year, because weather was pretty bad last year, if you remember correctly. It feels a lot worse and my team is telling me it’s a lot worse. In fact today, my education business at Nashville was shutdown again. And there is always a little bigger impact of weather when you have a bigger branch structure, the branches get shutdown, people just can’t get to work and you just have to make up the work that you lose on the day shift business from a branch location. So, I do think weather is partly a factor, but I don’t have a number associated with that. We will do that when we announce the first quarter, but I do believe the quarter.
Brandon Fazio: Okay.
Bill Grubbs: And then in the cost additions?
Bill Burns: Yes, on the cost side, Brandon, so we expect to obviously fully realize the synergies coming out of the MSN acquisition. We previously communicated the $12 million to $14 million will be at a full run-rate for that starting in the first quarter of 2015. So that will certainly be part of the leverage that we will get in the business. The company continues though to execute on other operating efficiencies to centralize and standardize and automate different processes. It’s hard to size the exact dollar amount of the impact that gets you to the 5%. It’s going to be a combination of things. As Bill mentioned in his prepared remarks, we are continuing to see pricing increases and we expect that will help uplift margins and we will continue to make and fund investments in the business. So, it might be a little bit difficult to see the exact dollar amount of the cost savings initiatives, but we are actively going out.
Bill Grubbs: Yes, the 5% is going to come from continued growth. We expect to have continued year-over-year growth, which will obviously contribute – we will get some leverage out of that by the fourth quarter and then some additional cost savings, but also the first quarter ends up with much higher cost anyway with payroll resets and a couple other things that are happening related to our integration that kind of inflate the cost base in Q1 that we expect to come back in subsequent quarters.
Brandon Fazio: Sure. And that’s one quick follow-up here, adjusted tax rate, we should be thinking about in terms of if you are looking at the adjusted net income sort of numbers, kind of 40%, 45% or what kind of tax rate you think we should use for that?
Bill Grubbs: That’s an interesting question. The tax rate is obviously very difficult for us to predict. We operate with a full valuation allowance. So really the only thing affecting the income tax expense line are the indefinite-lived intangible amortization which pretty much is set throughout the year, it’s based on how the assets amortize for tax purposes. There are some state and international taxes, small amount of taxes for that and as well as anything changes in FIN 48, but it’s hard to get to a rate because the full valuation allowance kind of mutes that and you don’t really see the impact from it.
Brandon Fazio: Okay. Thank you, guys.
Operator: Thank you. Our next question comes from Tobey Summer of SunTrust. Your line is open.
Tobey Summer: Thank you very much. Good morning.
Bill Burns: Hi, Tobey.
Bill Grubbs: Good morning Tobey.
Tobey Summer: I had a question for you, what proportion of sales is derived today from acute care versus ambulatory or other settings and how might that mix change do you think over the medium term?
Bill Burns: Tobey, I don’t have that number handy, I apologize for that. It’s certainly higher in non-acute care now that we have a larger branch operation than we used to, because they do a lot more local business and a lot more ambulatory business. I don’t have a breakout of the mix to be honest with you.
Tobey Summer: Okay. How much growth have you seen in your recruiter or kind of sales generating headcounts and what should – what are you planning for like early this year, do you need to have a kind of a bolus of hiring and expense associated with ramping that up or is that something you have kind of been on top of for the last 6 months or 8 months? Thanks.
Bill Grubbs: I think we have been on top. We got a pretty early start. We started to see positive order trends in April, May, June of last year. So we got a little bit ahead of it. I think we announced in early November in our last earnings call that we were up 20% in our recruiter headcount in nurse and allied at that point year-to-date. We are up another 13% from that point as of the end of February. And we have enough people in the pipeline that are in process that we will be up another 10% from the current number by the end of May. So we continue to invest in adding producer headcount. Mostly on the recruiter side we have made some investments in sales, but mostly on the recruiter side and were to bring in new applications and make sure that we can increase our fulfillment.
Tobey Summer: Just to make sure I understand the up 20% comment that was on the third quarter call and that was year-over-year, but then the 13% number and the forecasted 10% number by May are sequential from that kind of November time period?
Bill Grubbs: That’s right. So from the end of October in essence we are up another 13% over the last 4 months and we will be up another 10% from the end of February number by the end of May.
Tobey Summer: Not to ask you to do too much math, but to try to keep apples and oranges separate would that what did you – what would you guess that would be from a year-over-year standpoint either now or May?
Bill Grubbs: Year-over-year, okay, let me try to do the math real quick…
Tobey Summer: And I can ask you another question while what you are trying to do that. Do you the flu has impacted your orders over the last couple of months and are you cautious at all about some sort of falloff in orders as the flu season generally winds down too?
Bill Grubbs: Yes. So we tracked the flu trends quite a bit and we saw that there was a peak this year certainly higher than last year not as high it was a couple of years ago. But it was a bit more robust flu season than normal. But we did not see any real change in those. Orders have remained I mean within a few percentage points pretty static now for 6 months on a week over week over week over basis they just seem to stay the same. I would have expected to see a drop off already due to flu season. If we are going to see a drop off, then I haven’t seen that yet as of the first week of March. So I think demand has stayed steady and I expect it to stay steady going forward. So very little flu impact from what I can tell.
Tobey Summer: So historically if there has been a flu impact the orders have slowed kind of by this time in the calendar year?
Bill Grubbs: Yes, usually they start to fall off by the end of February.
Tobey Summer: Okay. Perm grew real nicely, what kind of growth rate range, not a specific guidance thing or something like that, but how should we think about that going forward and I know it’s a small slice of the business, but that was a nice growth rate.
Bill Grubbs: Yes, I don’t plan on 38% every quarter. I do expect that we will be able to grow it. I am hoping that we will be able to grow it at double-digits for the whole year. And my goal is to get that business significantly larger than it is. It has the ability to have a decent contribution. It’s just very small as you mentioned. So, I would like it to be a bigger part of our overall business. And right now, we are seeing some – we have a new leadership in there. They have done a good job. The team has done a good job and we see some good demand there. So, we expect double-digit growth this year.
Tobey Summer: Okay, I will ask one more question and I will get back in the queue. Are there any anticipated adjustments in 1Q and I apologize if you mentioned this, I probably didn’t jot it down, acquisition and integration or restructuring cost that we can know about for modeling?
Bill Grubbs: There maybe some small costs coming through in Q1, but we really do expect it to taper off quite a bit. I would expect the acquisition integration cost line to be of people about $500,000 in that ballpark at most. So, it’s hard to say specifically, but most of the actions as I said were either had already been occurred late in the fourth quarter or have occurred in early 2015. So, we really do expect this to taper off quickly.
Tobey Summer: Okay, thank you. I will get back in the queue.
Bill Grubbs: And on the headcount, it’s hard for me to say, but it’s probably up 25%, 30% year-over-year overall when you add it all up together.
Tobey Summer: Thank you.
Operator: Thank you. Our next question comes from Mr. Randy Reece of Avondale Partners. Your line is open.
Randy Reece: Good morning. When you look at your fourth quarter revenue result versus the guidance range, what were the primary variances versus your assumptions that you used to assemble guidance for the fourth quarter?
Bill Burns: Well, I think we are within the guidance. Yes, we are within our range and towards the lower end I agree, but we are in the range. I don’t think this is – I am taking a look now and I don’t believe we have really fallen off drastically from the guidance range. The only business that when you look at relative to what we were hoping for I think would be physician staffing has continued to perform a little bit weaker than expected.
Bill Grubbs: The other one I would talk about is only because it’s newer to us we bought MSN at the end of June. So, we have only had it for two quarters. It’s a little bit less predictable on a branch basis to predict than it is the travel business. So, I think we are very good at forecasting the travel and we are still kind of getting our arms around the branches, which have more of a day and weekly kind of trend to them, not a monthly trend like travel nursing does. So, I think we probably didn’t quite get as much out of the branches as we expected. That’s a little bit hard to predict.
Randy Reece: Business, what – how does their revenue mix differ from the rest of Cross Country?
Bill Grubbs: Well, it’s all integrated now. Our branches are integrated with their branches. So, our old branches plus the Allied Health Group acquisition we made, plus the MSN branches are all integrated together. Now, we don’t see any revenue from any entity other than a combined branch entity today, but they are predominantly local per diem, local contract nursing and local allied business.
Randy Reece: Did the allied business just the market demand trends through ‘14, did allied continue to strengthen as much as it looked like it had through the first nine months of the year?
Bill Grubbs: Yes, allied was still pretty good, both travel allied and local allied was still pretty good in Q4. Rehab in particular was up 21%. IRL was up about 33% year-over-year. So, we saw some good trends in certain sectors or segments within allied.
Randy Reece: Alright, very good. Thank you.
Operator: Thank you. We have another question from Mr. Tobey Summer of SunTrust. Your line is open.
Tobey Summer: Thanks. That was quick. How is – any turnover at the branch level, I am thinking of the MSN properties, but like you said you have integrated them, so maybe I will just make the comment more broadly, because I was curious about you said maybe it’s a little bit more difficult to predict, wondering what the root causes maybe?
Bill Grubbs: Yes, I mean, it’s not because of turnover, although turnover in branches is always a little bit higher than in the centralized operations that it’s just the nature of a distributed branch operations. I don’t think that’s the case. I think it’s just that branches are new to us and a lot of work in branches is done with 2 to 3 days notice and it’s just a little bit harder to predict out a whole quarter as to what’s going on. But we were within our range of revenue in the fourth quarter and I don’t think we are that far off on any of the segments to be honest with you. As Bill said, physician tends to be more of a drag than anything else in our business today. So, we have little bit higher turnover, but nothing that’s worrisome and nothing to do in particular with the acquisition or integration. It’s just a little bit higher turnover in the branches to begin with, but it’s well in line with what my expectations were.
Tobey Summer: Okay. And I just want to make sure I cut this way, when do you think the changes that you’ve made in physician staffing, maybe – may help you achieve growth?
Bill Grubbs: Yes, not soon enough, but I was up there again a few weeks ago and I am actually very pleased with what’s going on. I am not pleased with the numbers, but I am pleased with what’s going on. We are bringing in more physicians more providers as we call them than we ever have before. And we have a lot more submittals – submittal activity than we have had in the past as well. That’s all good, because future growth is going to come from better activity and so we are seeing the better activity, the model seems to be working. It just takes a little while to manifest itself into revenue growth. So, I would expect to see I am hoping for some stability in Q2 year-over-year revenue growth. I would like to see it in Q3 maybe will be year-over-year breakeven in Q3 and maybe some growth in Q4. I would like to see growth in the second half though.
Tobey Summer: Okay. And last question for me, it relates to your capital structure, any plans to make the structure more efficient, are there any kind of time constraints as to when that may limit your flexibility? Thanks.
Bill Grubbs: Yes. I mean, I will make a comment then I will turn it over to Bill. We really can’t do anything on the subordinated debt in the convertible loan until after the end of June. Well, we can’t do anything on the convertible loan anyway. So, well we can’t do anything on the other $30 million term loan until the end of June. We will talk to our Board at the board meeting next week as well as in May about our capital structure. We know that some of our debt is a little higher than we would like it to be and we are much better performing company that when we were when we took that debt on. So, we believe there is a very good chance of getting more favorable terms going forward. So, I will turn over to Bill and he could talk about some of the things we talked about.
Bill Burns: Yes, I think you just said it perfectly. I think it’s something we are going to be planning to do in 2015 is taking a look at our capital structure. I think we all agree the interest rates are higher than we would like to see. We think that they were competitive rates where we were at the time, but nevertheless, it’s something that, that is something we are keeping a close eye on and we will be looking at as we go into 2015.
Bill Grubbs: And we would like to build if we do that, we would like to build in some flexibility and scalability so that we have the option to do acquisitions if they come available and we find that’s a strategic and a good deal financially. So, we are looking at that and we are talking to the Board and we will address it as we get closer to making a decision.
Tobey Summer: Thanks. I guess I fibbed. One last question, I am curious about your perspective on the Supreme Court ruling on subsidies and healthcare reform and maybe what you are hearing from customers just so that we can over the next several months interpret what different outcomes could mean for your business and your customers? Thanks.
Bill Grubbs: Yes. I have to say a couple of months ago, I was a lot less worried about it, but now all the hype since the hearing has actually started or the arguments have actually started with the Supreme Court, now there is all this talk that maybe this will knock 7 million people out of the healthcare system. That’s really true, knocking 7 million people, I mean, I guess 11.4 million people now have signed up a 12% increase over last year, knocking out three quarters of them would be a problem. No doubt about it. My customers do not believe that’s what’s going to happen. Most of my customers believe that Supreme Court is going to rule in favor of the government and the subsidies continuing, but I don’t know what information they have to do that. That’s what they believe is going to happen. They probably have more people in tune with what’s happening in DC than I do. So, I wasn’t that worried about a couple of months ago, because I don’t think it will knock that many people out. Even if some of the subsidies go away, there is still the tax penalty and there is still the employer mandate that I think will keep people in the system anyway, but I think I am leaning towards what my customers are saying, which is I am hoping that it is ruled in favor of the government and that we don’t cut off the subsidies.
Tobey Summer: Thank you very much.
Operator: Thank you. At this time, we don’t have any questions on queue.
Bill Grubbs: Okay, great. Well, thank you everyone. I appreciate you joining us this morning. I look forward to updating you with our first quarter results in May. Thank you.